Operator: Good afternoon, ladies and gentlemen, and welcome to the IsoRay Fiscal Second Quarter 2022 Earnings Call for the quarter ended December 31,2021. At this time, all participants have been placed on a listen-only mode and we'll open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host Mark Levin. Sir, the floor is yours.
Mark Levin: Thank you, operator. Good afternoon and thank you for joining us today for the IsoRay fiscal second quarter 2022 earnings call for the quarter ended December 31, 2021. At this time, all participants have been placed on a listen-only mode and the we'll will open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host Mark Levin. Sir, the floor is yours.
Mark Levin: Thank you, operator. Good afternoon, and thank you for joining us today for the IsoRay fiscal second quarter 2022 earnings call for the quarter ended December 31, 2021. Before we get started, I will take a few minutes to read the forward-looking statement. Certain statements in this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. When used in this conference call, words such as will, believe, expect, anticipate, encourage and similar expressions as they relate to the company or its management, as well as assumptions made by and information currently available to the company's management identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs about future events as of today, February 08, 2022. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances, and the company undertakes no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements, whether resulting from such changes, new information, subsequent events or otherwise. Additional information concerning forward-looking statements is contained under the headings of Safe Harbor Statement and Risk Factors listed from time-to-time in the company's filings with the Securities and Exchange Commission. We will begin today's call with Lori Woods, IsoRay's Chief Executive Officer, and then Jonathan Hunt, IsoRay's Chief Financial Officer who will discuss the fiscal second quarter 2022 financial results. Following their prepared remarks, we will take questions from our analysts and institutional investors. I will now turn the call over to Lori Woods.
Lori Woods: Thank you, Mark. Good afternoon and thank you for joining us today for IsoRay's fiscal second quarter 2022 earnings conference call for the quarter ended December 31, 2021. Following my prepared remarks, our Chief Financial Officer Jonathan Hunt will provide a more detailed review of our fiscal second quarter financial results. I am pleased to share with you the continued growth we experienced in our fiscal second quarter. Total revenue for the fiscal second quarter increased 19% versus the year ago, quarter to $2.82 million. This represented the third straight quarter of year-over-year growth for our core prostate business, as well as total company revenue. I believe there are encouraging trends in our in our business. In fact, this quarter is the second highest revenue quarter in the company's history, right behind the quarter ended March 31, 2020 at the very beginning of COVID. The second quarter marked a return to a more normal pace of business for us. Access to clinicians and hospitals in increased as COVID seemed to settle down and patients increasingly worked through the referral process. I remain confident that the steps we are taking will benefit us even more as our end markets rebound further from the impact we have been experiencing due to the pandemic. In addition to growth in our core prostate business, our non-prostate brachytherapy business, which is about 25% of our total revenues now, grew 46% year-over-year. This was largely driven by continued expansions of treatments for brain cancer, notably GammaTile Therapy. We're happy to report that GT medical technology continues to make progress in increasing awareness of the value of GammaTile to both patients and clinicians. We look forward to sharing more information with you regarding their ongoing clinical trials and the benefit of this therapy later this year. The growth we've been experiencing over the past few quarter in our prostate business reinforces our confidence in this market opportunity. This is especially true when we look at this growth in context of the ongoing pandemic, I believe the pandemic-related headwinds to our prostate business will persist, but with diminishing magnitude moving forward. Ultimately I'd believe that what we have been saying repeatedly over the last two years remains accurate. Cancer does not stop due to the pandemic. Consequently, we believe the number of men diagnosed with prostate cancer is going to grow at a historically high rate. Data such as that highlighted in the American Cancer Societies' 2022 Cancer Facts and Figures Report that was published in January support this position. This report estimates that nearly 270,000 men will be diagnosed with prostate cancer this year, which is almost 50% more than the number of men diagnosed annually in the years just prior to the pandemic. This also reflects a higher number than the estimated 250,000 diagnosis published in the 2021 report. Despite these historic challenges driven by the pandemic, we continue to believe Isoray is well positioned to accelerate our growth and expand our share of the prostate brachytherapy market. Certainly the compelling long term data we have continued to accumulate over the past few years speaks to Cesium's efficacy. This combination of increasing clinical of Cesium-131 as a powerful option for the treatment of prostate cancer and the likely growing market opportunity points to now as the time to accelerate our sales and marketing effort. With that in mind, we recently engaged in a thorough review of the prostate market opportunity and how our sales marketing strategy should be aligned. One of the facets of the review was focused on identifying the programs that were most beneficial to promoting Cesium-131 as the isotope of choice for intermediate and high risk prostate cancers. Sales supported by marketing will be tasked with implementing changes to reflect what we have learned from this internal review to advance our efforts to broaden awareness with clinicians as well as patients. One component aimed at achieving broadened awareness as well as increasing market penetration is our plan to increase our headcount in sales. We expect to increase the number of territory managers from seven to 210 over the next 12 months. We believe this combined with our increasing clinical evidence will accelerate new clinician adoption of Cesium-131 in our core prostate market. It is our expectation that it will also increase the utilization of complimentary value added products, such as the C4 series MRI markers. We will also be dedicating more marketing resources to both clinicians and patients. Our market research has reinforced the notion that although radiation, oncologists and urologists generally are receptive to the clinical data on Cesium-131, their awareness of the product is relatively low and they're more likely to use the isotope they were originally trained on. To that end, we are going to have more frequent company sponsored trainings. Important to our training plans is the implementation of Proximie as a virtual tool for those clinicians and their teams that don't have the time or the desire to travel. Additionally, we are receiving renewed interest in, in-person training once again, which we have reinstated for those who are ready to return to that training setting. Another aspect of this effort is tied to our work with the Cesium Advisory Group or CAG to update the guidelines on how to successfully implant the prostate using Cesium-131. This group is comprised of experienced clinicians who are eager to share best practices in planning and executing Cesium-131 prostate implant procedures. We will then add this information to our company-sponsored clinician training programs. We believe the CAG recommendations will empower clinicians to use our isotope by following the guidelines and encourage those who have not used this isotope previously. We believe this will accelerate adoption of Cesium-131 in new centers. This emphasis on clinician engagement and training extends to our plans to deepen our engagement with ABS, the American Brachytherapy Society. Most recently, we have seen a change that is of great interest. ABS and grand rounds in urology are collaborating. Grand rounds in urology is a leading network of clinicians who provide best practices and current clinical updates for the treatment of urologic disease and conditions, including prostate cancer. They are building on their strengths to bring expanded programs and training opportunities on brachytherapy to radiation oncologists, urologists, and physicists. We are looking forward to attending an event in early March where these clinicians will be on hand as well as a number of ABS senior executives. The program is an outgrowth of the International Prostate Cancer Update or IPCU, one of grand rounds in neurology's program offerings. It includes a multi-day CME accredited conference, focused on prostate cancer treatment updates. Isoray will be exhibiting at this conference and I, along with several senior Isoray executives will be there to assure a strong brand presence and take full advantage of some key networking opportunities. We continue to make progress towards the launch of the C4 Series MRI markers in combination with our Cesium-131 seeds for treating prostate cancer. We believe that in the immediate future, the incorporation of MRI will offer a significant improvement in the planning, execution and evaluation of prostate brachytherapy. The benefit from the integration of MRI extends both patients and clinicians in offering higher quality implants than possible with currently available imaging technologies. The FDA cleared prostate treatment we developed in partnership with C4, brings together MRI assisted radiotherapy with Cesium-131. This represents a step forward as it advances imaging technologies that have been in place for over 30 years with little or no innovation during that time. At the end of February, we will be conducting an Internal Launch Preparation Meeting regarding this new prostate treatment opportunity, which will train our sales teams, so they will be better able to engage with key institutions and providers. To promote greater awareness amongst patients, we will be growing our direct to consumer advertising and marketing programs. Increasingly patients have more influence on treatment decisions in many healthcare settings. We believe this is also very true for the prostate cancer market. It is our sense that the value proposition of Cesium for the treatment of prostate cancer is compelling and easy to understand. As a result, we feel it should be well received by many of the growing number of men facing prostate cancer. Patient engagement is also behind our intent to increase our presence with the key advocacy group's zero cancer. Given their established position as a leading patient advocacy group, we believe it will contribute to our drive to further recognition of Cesium amongst patients. Underpinning all of these programs, will be our continued concentration on refining Cesium blue's brand image and related messaging across our website, collateral and outreach to patients. I am equally excited about the growing opportunities for our proprietary isotope in treatment areas like brain, head and neck and lung. In fact, we are currently awaiting a response from CMS on a reimbursement code for high activity seeds that support our surgical applications. This is important because there are certain types of lung cancers that may benefit from a high level of activity. For example, seeds with a higher isotope activity may be more effective for nonsurgical treatment of certain lung cancer. And finally, I am happy to report that our immuno-oncology study combining Cesium-131 with Keytruda for the treatment of recurrent head and neck cancers, continues to gain momentum with recent additional patient enrollments as we move beyond COVID-related hospital restrictions that have been a headwind to the study thus far. Additionally, we continue to have ongoing discussions with other leading institutions, interested in potentially collaborating with the University of Cincinnati to potentially make this a multicenter study. We are hopeful that enrollment will continue to accelerate and that we will have enrollment completed in the coming months. I do want to share with you that we have made significant inroads towards these phase one and phase two clinical trials. We will keep you updated as progress is made. Our clinical trial strategy is ongoing and will continue to represent a significant portion of the R&D expenditures going forward. In closing, we are increasing our activities on a number of fronts. We believe that our multi-pronged undertaking aimed at our core prostate business surrounding training, sales and marketing at this time, when we expect the overall market to expand is essential. We feel it will support Isoray returning to the growth rates our prostate business was experiencing prior to the pandemic. At the same time, we see strong progress in the developing opportunities to treat applications for brain, head and neck, lung and other cancers. Lastly, we continue to make progress with respect to a number of strategic collaborations and investments, which we will share with you once we have more details, barring any unforeseen circumstances, I am encouraged by the recent growth and future opportunities for Isoray. Now I will turn the call over to Jonathan to review the results of our fiscal second quarter in more detail.
Jonathan Hunt: Thank you, Lori. I am going to discuss some of the financial information that was contained in our press release for the fiscal second quarter ended December 31, 2021 that we released a short while ago. We anticipate that our Form 10-Q will be filed with the SEC on or before February 14. Revenue for the second quarter ended December 31, 2021 grew 19% to $2.82 million versus $2.36 million for the same period last year. Prostate brachytherapy revenue increased to 13% versus the second quarter of fiscal 2021. Second quarter revenue was comprised of 76% for prostate brachytherapy with the balance or 24% of revenue attributed to other brachytherapy. Driven primarily by seed and services revenue from GT Medical Technologies, other brachytherapy revenue increased 46% versus the second quarter of fiscal 2021. Gross profit as a percentage of revenues for the second quarter ended December 31, 2021 was 43.3% compared to 49.5% for the quarter ended December 31, 2020. The gross margin decline was primarily the result of the 34% increase in cost of product sales, when compared to a year ago quarter. The primary driver was ordering of additional isotope during the initial setup phase of an additional reactor coming online to support future growth of the company. Additionally, payroll and benefits expenses increased as a result of greater headcount versus the comparable year ago period. Second quarter gross profit dollars of $1.2 million increased 5% when compared to the same period last year. Total operating expense is consisting of research and development, sales and marketing and general and administrative increased 40% to $2.86 million versus $2.04 million in the second quarter of 2021. Total R&D expenses increased 88% versus the comparable prior quarter to $535,000. The increase in total research and development expenses was primarily the result of increased payroll and benefits expense due to greater headcount versus the prior year comparable period and higher market research expenses versus the prior year comparable period. Sales and marketing expenses increased 13% versus the comparable prior year quarter to $702,000. The increase in sales and marketing expenses was driven primarily by increases in travel and tradeshow costs and increase in payroll and benefits expense to the merit increases, new higher and increase incentives compensation versus the prior year comparable period. G&A expenses of $1.62 million represented an increase of 43% versus the fiscal second quarter 2021. The year over year increase was primarily due to increases in payroll and benefits expense due to annual merit increases and greater headcount, employment hiring expenses, IT consulting expenses, D&O insurance premiums, other public company expenses, audit and legal fees and travel expenses versus the prior year comparable period. The second quarter net loss was $1.6 million versus a net loss of $868,000 during the same prior year period. A net loss per basic and diluted share was $0.01 versus the net loss of $0.01 for the prior year fiscal second quarter. Basic and diluted share results are based on weighted average shares outstanding of approximately $142 million at fiscal second quarter 2022 versus approximately $83 million for the prior year period. As of December 31, 2021, the company had cash, cash equivalence and certificates of deposit, that totalled $60.4 million or approximately $0.42 per share compared to $63.8 million at the end of the fiscal year 2021 ended June 30, 2021. The company has zero long term debt. Shareholder's equity at the end of the fiscal second quarter of 2022 totaled $64.4 million versus $67.4 million at the end of fiscal year 2021. I will now turn the call over to the operator to take questions from our analysts and institutional investors.
Operator: Thank you. Ladies and gentlemen, the floor is now open for questions.  And the first question is coming from Frank Takkinen from Lake Street Capital Markets. Your line is live.
Frank Takkinen: Hey, Lori, Jonathan. Thanks for taking my questions. Few from me today. I wanted to start with the commentary around internal investments. It sounds like relatively significant step up in the internal investment side sales, marketing, DTC, those types of things. So my first part question is one; what is triggering this? Is it improving clarity into the end market? Is it something else? And then two, is there anything to read into what feels like to me an increased focus on internal investments rather than what felt like a focus on external investments in previous conference calls?
Lori Woods: Hi, good afternoon, Frank. Yes, let me start by talking about our investment in sales and marketing. We're really starting to feel like we're seeing access to hospitals improve and some of the COVID restrictions starting to come down and where for the last couple years we've had the ups and downs of that happening. We do believe in, we are certainly hoping that going forward we'll have better access and things will ease a bit. So now is a very good time for us to focus on the breakout in our territories and the access that our sales team has to get in front of customers on a regular basis. And we feel like there are territories in which we could do a better job in that and therefore we're looking at this time at adding additional sales people in that those different territories to be able to increase access to these hospitals that are opening up. So we're excited about that. When it comes to increased folks in other areas, certainly over the last few earnings calls, we've been talking about our shoring up internal resources to an additional growth. And what you're seeing here is definitely looking at our R&D resources and other resources as well, to make sure that we can continue to focus on some of these external things. We certainly haven't lost focus on these external things. We continue to look at opportunities and refine our opportunities and then ones that get to the due diligence phase work on our due diligence, but that does take resources to do all that.
Frank Takkinen: Okay. That's helpful. I wanted to ask one on seasonality, obviously it's a little bit less clear with the different COVID impacts that have been occurring, but can you provide any thoughts around seasonality of the December ended quarter versus what might impact the March ended quarter?
Lori Woods: So it's interesting. If it was a non-COVID year, I would say that typically our seasonality can be found during the summertime when people go on vacation and around the holidays as well. But what we saw more this year than past years was the impact of COVID on the season, so to speak. We saw COVID when COVID went up, we have been seeing the reduction in access to hospitals and patients getting in the system, and it hasn't necessarily lined up with the holidays or vacation times this year. So as we look into this first quarter here, my hope is that Omicron really does go down as people say it may and fall off quickly and we get back more into that summer environment that we've seen with COVID the last couple years. And so, as we look forward, that's what hoping to see, but we just don't know if another variance going to pop up and put us back in the same position where we were in with Delta, where we thought we were moving forward and then Omicron hit. So we continue to watch it. We continue to work at ways to engage with hospitals and clinicians around all of this going on.
Frank Takkinen: Okay. Last one for me, realizing you're in the process of adding another reactor at a time where supply chain increasing material costs have been very common out there. Can you kind of peel apart the impacts of those two? Honestly, I thought the gross margin was a little bit better than anticipated for the quarter. So maybe just talk about the different material cost increase, well as the reactor impact, and one, we could see something back towards your call it 50% plus gross margins experienced in previous years.
Jonathan Hunt: Yeah, Frank. We did experience some additional cost due to starting up the additional reactor. We felt that was very beneficial for us giving where we're at kind of in the marketplace and particularly as we look forward and anticipate additional growth. We expect to be able to balance those two reactors out over the coming quarter and to especially, margin's going to really start to improve and get back into those kind of that 50% range as we see the cells continue to improve. Really when the cells start to improve, that's when it allows us to be more efficient with our use of isotope which is one of the main cost drivers. And, in terms of other supplies, we have seen some increases there but we have not had any supply chain disruptions, but we've been able to maintain our so supply chains sometimes going out to other vendors at times, but nonetheless being able to acquire the supplies that we need throughout this time.
Frank Takkinen: Perfect. Thanks for taking my questions.
Operator: The next question is coming from Mike Ott from Oppenheimer. Mike your line is live.
Mike Ott: Good afternoon, Lori and Jonathan. Thanks for taking my question. Really nice 13% year over year growth in core prostate last quarter, now back above December 19 levels. As a fair synopsis, this is just a bit of post Delta pre Omicron recovery, coupled with Lori, the better access that you mentioned and possibly some of the ABS guideline inclusion that I believe was effective September 21.
Lori Woods: Yeah, I think it's fair to categorize certainly that we had a quarter where we had better access and we felt like we were getting in front of physicians. Physicians were seeing these patients come in and through the system and that certainly helped. We have also been working as we talked about getting our training programs up and going again, getting clinicians involved in understanding how to do a great implant. So they feel really comfortable and I think all those things are helping to support the growth that you're seeing.
Mike Ott: Okay. That's great to hear. And then pivoting over to the other non-prostate side, seems like we've observed an increase in customers, maybe trying GammaTile or at least an increase in talking about it, realizing that GT is a separate company. Are you aware of any increased marketing efforts on their behalf and related to that, has the new arrangement, I believe where you're providing GT with the seeds as opposed to the finished tiles, is that played any role. It just seems in our model, obviously there's some really big growth numbers that we saw in your fiscal '21 and we're seeing it slow just more, still respectable numbers on the non-prostate growth.
Lori Woods: Yeah, absolutely. No. We're excited about what GammaTile is doing and I think they're working as hard as we are toward getting access to clinicians and broadening the numbers of clinicians and institutions that are aware of GammaTile. I think we, in terms of what we see from our perspective, feel like they're making good progress on this front, and we're very excited to be able to support them. When it comes to us selling them seeds and them loading their own tiles, that's I think has been very beneficial. for both companies. We are excited to be helpful and support them in any way that we possibly can and feel like that's going really well.
Mike Ott: That's great. And then one last topic realizing that brachytherapy is no longer part of it. Curious, Lori, if you have any thoughts on the one year, the latest one year delay to the ROAPM to now not before I believe January of 2023.
Lori Woods: Yeah, absolutely. So, we continue to see this, get pushed back a bit and I have to give a lot of credit to ASTRO because I think they've been working really hard with CMS to get CMS, to understand the kinds of issues that are, are related to the complexity of providing radiation treatment to patients. And I think this year pushback is going to give us the opportunity need to look at some of the things, that could be better in that language, to help make sure that patients have access to the care that they need and so from that perspective although we continue to be hopeful that they will engage in the ROAPM model at some point. Now that seeds have been removed from that, it doesn't impact us as directly. And yet patients who have high risk prostate cancers are likely to get external beam radiation, and brachytherapy. That's been shown in the data to be the best way to treat advanced cancers. And so, we have a vested interest in wanting to make sure that that patients have access. And I'm excited about what ASTRO's looking at to -- to work with CMS and fix some of the last remaining issues.
Mike Ott: Great. That, that does it for me. Thanks so much.
Lori Woods: Thank you, Mike.
Operator:  The next question is coming from Tim Chiang from Northland Capital. Your line is live.
Tim Chiang: All right. Thanks, Laurie. Laurie, you, mentioned that you're making some progress on the enrollment for the -- I think it's the Cesium-131 KEYTRUDA study Do you have any idea when that study will fully enroll? Is there any sort of timetable for that?
Lori Woods: So typically Tim, I would be able to give you a better sense of that. Unfortunately COVID has been problematic for enrolling some of these studies and what we're trying to do to really speed up enrollment is turn this into a multi-center study. We have a couple other institutions who aren't through the process of complete enrollment yet. Hopefully when they are, I can talk to everyone about them, but they're very interested in joining this. And that would get a lot easier to finish off the enrollment of this particular study and the more access we have the patients and giving them this opportunitynity for this type of treatment, the faster that will go.
Tim Chiang: Okay. And I think on the call, you said you you're going to hire three more sales reps, is that right?
Lori Woods: Yes. So over the next 12 months, we're looking at dividing out three additional territories across the country.
Tim Chiang: Any -- any thought in terms of how much additional revenue you might be able to generate from adding new territories this year? I mean, is it -- I would imagine it's probably pretty sensitive as to each additional territory you add. But I would imagine that that should help you, right?
Lori Woods: Yeah, it sure should. And it really depends on where we make the finalized cuts for breaking up the territories. So it's difficult for me to give you a number at this point in time. But we absolutely do feel like, if our sales people can get in front of more people more frequently, we can move the process forward faster and that should result in these additional territories being helpful over time. Remember, it's a process for us. We have to get the radioactive materials licenses for many centers amended. And what we're finding is during COVID that takes a little longer than it did before, but where we can get to centers that already have Cesium on the license; we're taking advantage of that. And then working with these other centers to get them through the process as fast as we can, and more feet on the ground, more people able to support that will only improve, our ability to get that done.
Tim Chiang: I mean, is there any thoughts where you might put some investment dollars behind training and involving some of the medical schools in the U.S, such that, residents get more education on brachytherapy?
Lori Woods: That's a really good question, Tim and something that we have been evaluating at. And I don't have specific institutions for you at this point in time, but certainly it behooves us to be in teaching institutions, where these clinicians are being trained, so that they're comfortable with Cesium, when they come out of these institutions. And some of the ways we're doing that right now, without actually being involved with the specific institution is when we work with folks like the American Brachytherapy Society residents, and other people go to these programs to learn more about what's happening in brachytherapy. And that gives us the opportunity to get in front of them and to talk to them about this unique treatment that we have and all the benefits to it. And then what we do is we, we then move them through the training process. So even though they're not getting trained in medical school for using specifically Cesium, we can get to them through areas like IPCU and the ABS to get them in front of our particular treatment and to get them the training, they need to be very successful in using Cesium-131. So we're trying to leverage some other areas, but to your question, absolutely.
Tim Chiang: Okay. So, alright. Yeah. I mean, it looks like -- it looks like you have a, I mean, you did pretty well in the quarter and with COVID cases starting to decline you may have a line of sight to more radiotherapy procedures as we approach the summer. So?
Lori Woods: We are certainly hoping, so.
Tim Chiang: Okay, great. Congrats Lori.
Lori Woods: Thank you so much.
Operator: Okay. The next question is coming from Kyle Krueger from Apollo capital. Your line is live.
Kyle Krueger: Yeah. Nice quarter. What assurance can you give us as to the Cesium-131supply chain not being disrupted with the Russian, drama going on?
Lori Woods: Oh, that's a, that's a very good question. So we've had a really longstanding relationship with Russian buying isotopes with them going back to the early 2000. And during that time we've had other geopolitical kinds of things happen, like Crimea and some of the other political situations that have arisen from time-to-time during that point-in-time, we have never missed an order or had a disruption happen. And we have spoken with are our friends and partners over there about the situation and about our supply. We see at this point in time, no complications to that it's, it seems to be business as usual, and we appreciate their going out of their way to make sure that we're comfortable with that. When I look at all the different sanctions and we do keep an eye on that -- that are being out there. I think the only one that actually, I found a little bit humorous, was the ones where they were talking about not being able to actually transfer money between banks in and out of Russia. There was -- they were looking at sanctioning, the ability to do that, which would mean we would have to, write a paper check and send it by, a DHL or an international courier service to, to actually make our payment versus any bank transfers. But at this point in time that is where we feel that this stands is there might be some inconvenience associated with that kinds of things, but that our isotope supply is not in jeopardy.
Kyle Krueger: It globally, Lori, is there a readily available alternative source of the same quality, same  pricing? Does it make sense over time to sort of at the margin diversify your supply requirements out of that single relationship? Or are you not thinking about it that way?
Lori Woods: Well, we always think about it and we think about it that way, but I'll give you a couple examples that I think in previous years we've put in our K's and our Q's. So we had a U.S supply for quite some time from the University of Missouri at the more reactor and the folks there are great and they do a great job. Our problem ended up being because they're not a commercial reactor, they're a research re actor. The cost of their isotope was more than double what we could get from Russia. And we then had to have the additional expense of purifying that radio isotope once it got to our manufacturing facilities. So we are always looking at reactors around the world to your earlier question, to see what opportunities are out there and to figure out are they the reactor that has the appropriate flex rate to make Cesium-131 that's one of the criteria. Another one of the criteria would be, how could they get that Cesium-131 to us? And then what state would it be when it gets to us? And then pricing is always, always a question we look at, but we keep a list of all the reactors online, offline, coming online, going offline around the world, and we continue to investigate that on an ongoing basis.
Kyle Krueger: Yeah. Okay. Final question for me with the, the, the dramatic surge COVID late December going into January, did you see the same displacement of your procedures that you've seen in the past, in that, albeit short window, did you see a change in behavior? Is, is the backlog out there? So overwhelming that there's nothing that can slow it down. You had a a dramatic acceleration in revenues, but what do you, what do you see in this most recent period with the surge?
Lori Woods: So we do see an impact from when it, when it surges most certainly. What happens is hospitals start shutting down. And I always hate when we're lumped in with, all the other types of surgery that they consider non-essential. But they -- but basically the problems recently have been, they're not enough staff at hospitals to staff for everything. So when they start to be overrun with COVID cases, they back off on everything else. And we certainly have had that impact us. I also, what we're starting to see a bit more is people have gotten vaccinated and boosted and are, are maybe in some cases, just the fatigue of COVID is we're starting to see that there's upticks during the downturns of COVID. So I think that's what we saw last quarter was part of the quarter was a little slow. There was some, uptick going in COVID, but the rest of the quarter wasn't, and, and that's where we saw a significant upturn. And I think it is these people who haven't been able to get into the system that are -- that are looking to get into the system, knowing they need to and to some degree, be it either access, they just can't get in any other time or, patients actually looking at it and timing it saying now looks like a good opportunity. They've been getting in the system with a little faster it would seem
Kyle Krueger: Thank you. That's a lot going forward.
Lori Woods: Thank you very much,
Operator:  Okay. There are no more questions at this time. I'd like to turn the call back to Lori Woods for closing remarks.
Lori Woods: Thank you everyone for joining us today. We really appreciate it, and we hope you have a great afternoon and evening; bye-bye.
Operator: Thank you, ladies and gentlemen, this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.